Operator: Good day everyone and welcome to this AMETEK Incorporated Fourth Quarter Earnings Conference Call. This call is being recorded. For opening remarks and introductions, I would like to turn the call over to Mr. Bill Burke, Vice President of Investor Relations. Please go ahead, sir.
William J. Burke - Vice President, Investor Relations and Treasurer: Thank you, Rayne. Good morning and welcome to AMETEK's fourth quarter earnings conference call. Joining me this morning are Frank Hermance, Chairman and Chief Executive Officer and John Molinelli, Executive Vice President and Chief Financial Officer. AMETEK's fourth quarter results were released before the market opened today and have been distributed to everyone on our lists. These results are also available electronically on your market systems and on our website at www.ametek.com\investors. A tape of today's conference call may be accessed until February 6 by calling 888-203-1112 and entering the confirmation code number 4626500. This conference call is also webcasted. It can be accessed at ametek.com and at streetevents.com. The conference call will be archived on both of these web sites. I will remind you that any statements made by AMETEK during the call that are not historical in nature are to be considered forward-looking statements. As such, these statements are subject to change based on various factors and uncertainties that may cause actual results to differ significantly from expectations. Those factors are contained in our SEC filings. I will also refer you to the investor's section of ametek.com for a reconciliation of any non-GAAP financial measures used during this conference call. We will begin today with some prepared remarks and then we will take your questions. I will now turn the meeting over to Frank.
Frank S. Hermance - Chairman and Chief Executive Officer: Thank you, Bill. AMETEK had an excellent fourth quarter. We set records for sales, operating income, net income, and diluted earnings per share. Sales were up 21% to $583.3 million on strong internal growth of 7% and the contributions from acquired businesses. If the effects of foreign currency are included, internal growth was 10%. Order growth was very strong as well, with total orders up 26% in the quarter, internal growth in orders with excellent at 12%. Operating income was up 31%, driven by the topline growth in operational excellence improvements, resulting in 130 basis points improvement in operating income and margin. Net income was up 29% and diluted earnings per share of $0.57 were up 27%. Cash flow from operations was $97 million, up 48% over the last year’s fourth quarter. For the full year, our performance was also excellent. Sales were up 17% to $2.14 billion. Operating income was up 25% and operating margins expanded 110 basis points. Net income was up 25% and diluted earnings per share were $2.12, up 24% over 2006. Excellent internal growth in each of our segments and contributions from acquired businesses enabled us to post this sharp sales increase. Our operating leverage and improved mix of businesses and our focused operation excellence initiatives drove our record earnings performance. Cash flow from operations for the year was $279 million, up 23% from last year’s level of $226 million. Overall, we are very pleased with these results, our markets are strong, our strategy of acquiring differentiated businesses is working well, and our focus on operational excellence continues to drive profitability. Turning our attention to the individual operating groups. Electronic Instruments Group had an excellent quarter. Sales were up 23% on strong core growth of 8% and the contributions from the acquisitions of Precitech, Advanced Industries, B&S Aircraft Parts, and Cameca. If the effects of foreign currency are included, internal growth was 11%. EIG’s operating income was up 37% for the quarter, so a super quarter. Operating margins improved 230 basis points to 21.8% as compared to 19.5% in the fourth quarter of 2006. For the year, EIG sales were up 18%, driven by growth in our process, aerospace and power businesses and the contributions from acquisitions. For 2007, EIG operating income was up… was $260.3 million, an increase of 28% over the last year, operating margins were up 170 basis points to 21.7%. Electromechanical Group also had a great quarter, with revenues up 19%, solid internal growth of 6%, and the contributions from the Southern Aeroparts, Seacon Phoenix, Hamilton Precision Metals and Umeco acquisitions drove the revenue growth. If the effects of foreign currency are included, internal growth was 9%. Operating income for the quarter was up 21% and operating margins improved 30 basis points to 17.2% compared with 16.9% in last year’s fourth quarter. For the full year EMG sales were up 17%, strong growth in our differentiated businesses and the contributions from acquisitions drove the sales increase. Operating income was up 19% from 2006 and operating margins increased 40 basis points to 17.8%. We are obviously very pleased with our financial results in 2007. We are equally pleased with the progress we have made in fathering our strategic initiatives and how that success has positioned AMETEK for continued strong, profitable growth in 2008 and beyond. We have made sustainable progress in the implementation of our four growth strategies, acquisitions, operational excellence, global and market expansion and new product development and I would like to review each of those. In the acquisition arena, we acquired seven companies in 2007, including two in the fourth quarter. Together these seven businesses represent approximately $230 million in annualized revenue. These were all differentiated businesses that expanded our market positions in the analytic instrumentation, aerospace, power and engineered materials, and interconnect markets. The fourth quarter acquisitions were uniquely repaired on overhaul in California Instruments. You need to repair an overhaul with sales of approximately $57 million is the largest independent U.K. provider of third party maintenance repair and overhaul services for the commercial aerospace industry. This is a great acquisition for us, as it continues our expansion in third party MRO services, gives us a strong presence in the European MRO market and greatly expands the range of products and airframe platforms that we are now able to support. This acquisition coupled with our recent acquisitions of Southern Aeroparts and B&S Aircraft Parts establishes a global MRO platform for AMETEK. Second acquisition in the fourth quarter was California Instruments which we acquired in December. California Instruments with annual sales of $22 million is a global leader in programmable AC power sources used to test electrical and electronic products. These products are used in design verification testing, manufacturing, quality assurance, and regulatory compliance by its customers in the computer, consumer electronics, industrial controls, aerospace and defense industries. This acquisition broad us the scope of our power instruments business, which produces power quality monitoring and metering instrumentation and further expands our presence in the attractive electronic test and measurement equipment markets. Additionally, in August, we acquired Cameca, a highly differentiated manufacturer of high-end elemental analysis systems, used in advanced laboratory research, semiconductor, and nano technology applications, with annual sales of $80 million. In June, we acquired Hamilton Precision Metals, the niche specialty metals producer of precision metal strip and foil, for medical, electronic, and instrumentation markets with annual sales of $25 million. And also in June, we acquired two aerospace businesses, Advanced Industries and B&S Aircraft Parts. Advanced Industries manufactures starter generators, brush and brushless motors, vane-axial and centrifugal blowers and linear actuators for the business jet, light jet, and helicopter markets. B&S Aircraft Parts and accessories provide third party MRO services, primarily for starter generators and hydraulic and fuel system components for a variety of business aircraft and helicopter applications. Together these businesses have combined annual revenue of approximately $25 million. And lastly, in April, we acquired Seacon Phoenix a privately held provider of undersea electrical interconnect subsystems for the global submarine market, with sales of $17 million. The pipeline of acquisition candidates remains strong, and we continue to look at additional differentiated businesses to AMETEK. We have the financial and managerial capability to continue to do acquisitions and we will become more aggressive in a slowing economy. As you know, we do not include potential future acquisitions in our guidance. Operational excellence was also a significant contributor to AMETEK's success in 2007. Our global sourcing office and strategic procurement initiatives were key drivers to increase profitability in 2007. We generated $11 million in savings in 2007, and expect an additional $16 million in incremental savings in 2008. We strengthen and continued our migration to best cost manufacturing locales in 2007. Revenue from Reynosa Mexico, Shanghai and Czech Republic plants totaled $326 million, an increase of $40 million from 2006, an increased production of cost driven motor products as well as aerospace products. In addition, we moved $5 million in revenue from Reynosa to Shanghai. We will continue to move products to these best cost facilities and expect revenues from these facilities to be up another $40 million to $50 million in 2008. As a result of these actions and many others throughout our divisions, we are able again expand operating margins this year by 110 basis points. Global market expansion continues to be a key driver for AMETEX’s growth. In 2007, international sales grew by 22%. This growth was balanced across geographies, driven by demand for our process, aerospace, power and electromechanical products. Acquisitions also paid a key role in this international growth, with Land Instruments, Southern Aeroparts and Umeco providing a boost to international growth. Our investments in Russia, Japan, and in the Middle East made in 2006 also contributed nicely to our international expansion. Our final growth strategy and key revenue for growth is new product development, we have consistently invested RD&E. This year the total is $103 million, up 17% over last year. Internal growth, reflecting a continued strong level of funding and attraction from our design for Six Sigma efforts was a strong 7% in 2007 and nearly 9% for the differentiated businesses. Revenue from products introduced over the last three years was 18% of sales, demonstrating the excellent work of our businesses in developing the right products to serve their customers. There is much discussion in the press and with investors about the slowing U.S. economy. Although, you have not seen any meaningful impact on our business, we feel we are well positioned when and if our business is affected. This is based on a diversified global customer base, our exposure to long cycle markets, a lack of presence in certain very weak areas of the U.S. economy, and our operational excellence capabilities. Some key points. Our customer base is global, with 50% of our sales outside the U.S., up from 32% in 2001. The international markets are doing extremely well. We have significant revenue, approximately $675 million concentrated in the long cycle aerospace and power markets from all market indications, these businesses should enjoy a number of years of solid growth. In addition, it should be noted that these long cycle businesses have higher than average profitability. We have minimal exposure to the residential housing and automotive markets two particularly weaker areas of the U.S. economy. Also, when necessary, we were react swiftly to align our cost base with economic realities. This capability enabled us to improve margins throughout the last downturn, one of the few industrial companies to do so. In addition, as a precautionary measure, we have included general belt tightening improvements in our 2008 budget. Pulling all of this together only about 25% of our sales and a smaller amount of our profitability are exposed to the short cycle U.S. economy. Our higher profit long cycle businesses will continue to do well in an economic downturn, and when needed, we will react swiftly to properly size our operations and continue our strong profitability. Turning to the outlook for 2008. We are very optimistic about our prospects for 2008. All of our key markets are strong. For the year, revenue is estimated to increase in the low double digit on a percentage basis on mid single core growth in each group and an annualized impact of acquisitions. Electronic Instrument internal growth will benefit from continued strength in our aerospace, power, and process business. In the Electromechanical Group, the core growth will be driven by strong performance in our differentiated businesses. The full year impact of our 2007 acquisitions will also be a key contributor to the topline growth. Earnings are expected to be approximately $2.40 to $2.45 per diluted share, an increase of 13% to 16% over the 2007 level of $2.12 per diluted share. For the first quarter of 2008, sales are expected to be up in the high teens on a percentage basis from last year’s first quarter. We estimate our earnings to be approximately $0.56 to $0.58 per diluted share, an increase of 17% to 21% over last year’s first quarter of $0.48 per diluted share. So, in summary, we are extremely pleased with our performance in the fourth quarter and the full year. Solid internal growth and the contributions from acquired businesses enabled us to grow the top line by 17% for the year. We’ve been able to translate the top line growth into bottom line performance, driving significant margin expansion and strong net income and earnings per share growth. And 2008 is shaping to be another great year. All of our key markets are strong. Our operational excellence capabilities, global customer base, exposure top long cycle aerospace and power markets and the full year impact of acquisitions completed in 2007 should enable us to grow both the top and bottom lines and meet our earnings estimates even as the U.S. economy slows. The pipeline of acquisition candidates remained strong and we continue to look to add additional differentiated businesses to AMETEK. We are very confident that 2008 will be another great year. We look forward to building on our track record of success during 2008, and remain confident that our four growth strategies will continue to create value for our shareholders. John will now cover some of the financial details and then we’ll be glad to take your questions.
John J. Molinelli - Executive Vice President and Chief Financial Officer: Thanks, Frank. As Frank has covered our results at a high level, I will provide some additional details on the company’s performance. Compared with the same quarter of a year ago, we drove margin improvement at the group level and increased our operating income margins by 130 basis points. Selling expenses were up 23% in the fourth quarter. Excluding acquisitions, selling expense increased at a rate below our core growth. The acquired businesses tend to have higher selling expenses as a percentage of sales and the base AMETEK businesses due to their differentiated nature. Corporate G&A expense was up on higher costs associated with growing the Company. Year-to-date, corporate G&A expense was 1.9% of sales, the same percentage as a year ago. We expect G&A spend for 2008 to be flat versus 2007. The effective tax rate for the quarter was 31.7%, and for the full year 2007, the rate was 32.2%. We expect a very similar effective tax rate for the full year of 2008. As we said before, this is a full year rate and actual quarterly rates can differ dramatically, either positively or negatively from this full year rate. On the balance sheet. Working capital to sales, defined as receivables plus inventory less payables was 20.6% for the fourth quarter, essentially unchanged from last year’s fourth quarter. We continue to see an opportunity to reduce our working capital investment. Our plans are to reduce this overall percentage further in 2008 by approximately 1%. Capital spending was $13 million for the quarter and $38 million for the year of 2007. Depreciation and amortization was $15 million for the quarter and $53 million for the year. For 2008, we expect the capital expenditures will total approximately $50 million, while depreciation and amortization is expected to be about $60 million. Operating cash flow for the fourth quarter was superb and totaled $97 million, up 48% over the fourth quarter of 2006. Full year operating cash flow was $279 million, a 23% increase over the last year. We expect operating cash flow for the Company to be roughly $330 million in 2008, reflecting growth in earnings, better working capital management, and the additional working capital needs of a growing business. During 2007, we expended a significant amount of afford to improve the Company’s capital structure and ensure that adequate liquidity was in place to support our growth plans. In June, we upsized our revolving credit facility from $300 million to $450 million plus an additional $100 million accordion feature. Earlier in May, we increased the size of our account receivables securitization facility by $35 million to $110 million. Finally, on August 30, we closed on a private placement for $450 million in long-term debt. There are two funding date under this private placement. The first occurred in December for a total of $370 million and the second the remaining $80 million will fund in July of 2008. Proceeds from the December funding were used to reduce short-term debt, which eliminated borrowings under our revolving credit facility and accounts receivable securitization agreements. The remaining funds are carried in cash on our balance sheet. We intend to use the second funding under the private placement along with cash balances and if necessary, borrowings under our short-term facilities to redeem our 7.2% senior public notes due in July of 2008. This private placement augments an already strong long-term capital structure, and along with our strong cash flow, and availability under our short-term credit facilities will allow us to adequately finance our acquisition strategy, over the next several year, thereby removing the access to the capital markets as a risk to the company. Total debt was $903 million at December 31, an increase of $103 million in the quarter. Offsetting net debt is a cash and marketable securities balance of $181 million. These amounts reflect the funding under the private placement, repayment of short-term debt, higher cash balances, and the investments of $114 million in acquisitions during the quarter. Our net debt to capital ratio at quarter end was 37%, down from 40% at the end of 2006. We were able to de-lever the balance sheet in 2007, while completing more than $300 million in acquisitions. At the end of December, we had approximately $633 million available under our short-term credit lines. In summary, we continue to manage our cost structure and balance sheet effectively, generating excellent cash flow and positioning ourselves for future growth. Bill?
William J. Burke - Vice President, Investor Relations and Treasurer: That concludes our prepared remarks. Rayne, we would be happy to take questions at this time. Question and Answer
Operator: Thank you. [Operator Instructions]. And we have our first question from Jim Lucas with Janney Investment.
James Lucas - Janney Montgomery Scott: Thanks. Good morning, guys.
Frank S. Hermance - Chairman and Chief Executive Officer: Hi, Jim.
James Lucas - Janney Montgomery Scott: First question, John, just a housekeeping here. The ’07 CapEx number again, I missed that and also the payables?
John J. Molinelli - Executive Vice President and Chief Financial Officer: The ’07 payables is $206.2 million, and the ’07 CapEx I said was…
Frank S. Hermance - Chairman and Chief Executive Officer: $38 million.
John J. Molinelli - Executive Vice President and Chief Financial Officer: $38 million. Right. $38 million.
James Lucas - Janney Montgomery Scott: Okay. Thank you. I had missed that. Frank, very positive remarks in your opening commentary. I mean, clearly, the work that’s been done over the last several years is showing up in the reported results. Two questions. When you look at the end-markets, we understand in terms of a lot of the positives that are going on and the commentary regarding the belt tightening, are you seeing any markets showing any signs and deterioration wouldn’t be the right word. But any signs of any potential slowing with that belt tightening is beginning to occur?
Frank S. Hermance - Chairman and Chief Executive Officer: No. Not really, Jim. We are really not seeing any of end-markets showing a slowing that would cause us to react significantly. The reason we decided to do some belt tightening is just… as we looked at what was happening in the world, it obviously feels like things are slowing down. So, we could be moving into a recession. And we just wanted to take some precautionary steps. But there’s nothing in the end-markets that is concerning us or that we are seeing, at this point in time. You may recall that last year the only market that was weak for us was heavy vehicles. It was pretty small part of the company was only $20 million exposure and actually that market this year is forecasted to turnaround It went down substantially last year and is forecasted to turnaround. So, in essence, all the markets are in good shape.
James Lucas - Janney Montgomery Scott: And switching gears on the acquisition side, you went in a couple of new directions in ’07 with your acquisitions. And as you are in the early stages on the integration side, are you seeing anything one way or the other with regards to the acquisitions that’s either more positive or as expected?
Frank S. Hermance - Chairman and Chief Executive Officer: I would say that, in general, everything is moving ahead just as we had outlined. The one that stands out in terms of extremely positive performance was Precitech. That business did extremely well and far exceeded our targets. But in general, they are doing just fine. We are getting their synergies. We are getting obviously the bottom line results as you can see in our performance. And we are pretty optimistic about 2008 to see further savings and integration synergies occurring and leveraging our profitability.
James Lucas - Janney Montgomery Scott: Okay. And finally, on the aerospace side, looking at the various buckets that you are competing in there from the OEM, military helicopter, could you give us a little commentary on what you are seeing on the aerospace side?
Frank S. Hermance - Chairman and Chief Executive Officer: Sure. I mean, again, all of those markets are very strong. Boeing and Airbus are producing at levels as Cessna on a commercial side. The combine backlog for Boeing and Airbuses is about $750 billion. For 2008, Boeing is expected to be up in terms of production about 10% and Airbus up about 5%. So, very strong performance in the large commercial aircraft market in terms of the business and regional jet market. As you know, Cessna is our largest customer. Their backlog is about $12 billion and they are essentially sold out for the next three years. So, very strong market conditions in that part of our business. And then last is military, and that’s also a very strong. As you know, we decided to invest in helicopters and electronic cooling a number of years ago. And those two markets areas in terms of the DoD budget are performing at a higher level and a higher growth rate than the base DoD budget. And we are enjoying that growth. So, we had excellent performance in 2008, and… excuse me… in 2007 and 2008 looks very strong. Our backlog from the beginning of last year to the end of last year for the Company was up about $150 million. It was actually $151 million is the exact number. About half of that is in aerospace and defense. So, it’s a significant backlog that we are going to be enjoying for the next several years.
James Lucas - Janney Montgomery Scott: And where did the aero mix end up at the end of the year of that $675 million between OEM, military, and business jet?
Frank S. Hermance - Chairman and Chief Executive Officer: Yes, it’s interesting mix now, because if you look at it in the way that you are talking about it, it’s 40% for large commercial aircraft, 40% for military, and 20% for business in regional aircraft. If you look at it in terms of after market on a component versus OEM, it’s… for our base business, it’s about 30% of our sort of OEM driven business, is about… is in the after market. However, now with this third party MRO, another 18% is in the third party MRO business. So, it totals in rough numbers almost half of the total aerospace business is in the after market arena.
James Lucas - Janney Montgomery Scott: Great. Well, thanks and congratulations again.
Frank S. Hermance - Chairman and Chief Executive Officer: Thanks Jim.
John J. Molinelli - Executive Vice President and Chief Financial Officer: Thanks, Jim.
Operator: And our next question will come from Robert LaGaipa with Oppenheimer.
Frank S. Hermance - Chairman and Chief Executive Officer: Good morning.
Robert LaGaipa - Oppenheimer: Few questions. I guess, one just to circle back on the end-markets. Hopefully, you could provide us with what you usually do. Just looking at your cross end-markets. And in doing so, you already gave us commentary relative to aerospace, we have another aerospace company, related company, materials company report this morning. Now granted they provide materials and they have about a year, year and a half type lead time, but they had mentioned some cautiousness in the channel, especially related to the 787. I was also curious as to about there.
Frank S. Hermance - Chairman and Chief Executive Officer: Okay. Well, let’s take your second question first and then I will come back and look through the Company as the share of what we do.
Robert LaGaipa - Oppenheimer: Sure.
Frank S. Hermance - Chairman and Chief Executive Officer: We are not seeing any slowdown in the MRO market either for our MRO market or in essence to the third party repair business that we are seeing. It’s very strong both in the U.S. and internationally. The 787 is not a major factor for us. We have got nice potential revenue on that aircraft, but it’s out in time. It’s not on the short-term. As a matter of fact, we looked at what this recent delay would be on the 787 and how it would impact AMETEK, and it’s roughly $1 million to $1.5 million worth of revenue in 2008. So, it’s just a not a major factor. I could see where a company that has substantial content in terms of their business mix on that aircraft might have a more significant issue, but for us, it simply. It is not a major factor. And actually that $1 million to $1.5 million doesn’t include the fact that the probably more other Boeing and/or Airbus aircraft are going to be shipped because of that delay. So, it will probably be even less than.
Robert LaGaipa - Oppenheimer: Very good.
Frank S. Hermance - Chairman and Chief Executive Officer: So, let me walk you through the end-markets as I normally do and I’ll try to give you a picture of looking into 2008 as to what we see, sort of coming off of 2007. And I’ll start with EIG. As I mentioned in my opening remarks for that group, sales were up 23% in Q4. Organic growth was 8%, 11% if currency is included. And if we look at the various parts of the business, we have already talked about aerospace in terms of the end markets being strong, so I will not repeat that. Organic growth for aerospace was up double digits in the quarter. Total growth with acquisitions was more than 45%. For 2008, we expect continued strong growth. Internal growth should be high single digits for the year of 2008. In the process business, the markets are very strong, driven obviously by the price of oil. Process and Analytic Instruments division had a great quarter. Materials analysis and ultra precision metrology businesses were also particularly strong in the quarter. New products are doing well. Q4 internal growth was up high single digits. Total growth with acquisitions was up double digits for this part of the business and we expect that good growth to continue. For 2008, internal growth should be up conservatively mid single digits, I think there is a great chance we will do better than that but that’s what’s included in our financial forecast. Power and Industrial. Power and Industrial continues to do well, Q4 was up mid single digits organically and for 2008 we expect Power and Industrial to have high single digit organic growth, so actually an improvement in this part of the business, and that’s driven by the continued strength in Power and the improved market conditions in heavy vehicles. Flipping to the other part of the Company, EMG. As I mentioned in my opening comments, sales were up 19% in the quarter. Organic growth was 6% and 9% if currency is included. The differentiated part of EMG continues to be strong. It is 70% of EMG’s sales, so there is change in the AMETEK portfolio that Jim referred to in his questions, is now a significant part of the EMG part of the business. We are now the fore care [ph] and cost-driven motor part of that business is becoming a smaller and smaller part and that’s driving very strong performance in EMG, overall. In that differentiated part of EMG, our aerospace and defense related businesses were extremely strong in the quarter. Q4 internal growth was up high single digits, total growth with acquisitions was up double digits and we expect that good growth to continue in 2008, and again we are probably a little conservative but we are saying the organic revenues will be up mid single digits. On the cost-driven motor side of the business, that’s doing just fine. Q4 growth was flat. As you are aware we run this business for maximum profitability versus growth. There is continued movement of production to low cost locales including China, Mexico and the Czech republic. As I mentioned in my opening remarks, we have moved about $40 million to the entire Company, not just cost-driven motors, but that was the largest share of it. We moved about $40 million to these low cost facilities in 2007 and we expect to move another $40 million to $50 million in 2008. Also in this business we focus on lean efficient manufacturing and low cost region sourcing. And I mentioned in my opening remarks that we did about $11 million of cost savings in low cost region sourcing in 2007 and we expect to do about $16 million in 2008, so we have been very aggressive on the cost side of the business. The profit in the quarter for cost-driven motors and for the full year was up double digits. And for 2008, sales are expected to be in that low single digit of flat arena, but again profits are expected to be up double digits. So, overall we are feeling quite positive right now. As I mentioned organic growth in orders in Q4 was 12%, backlog is up $150 million, total backlog is $688 million, as we go into the year. So, we are pretty bullish.
Robert LaGaipa - Oppenheimer: Terrific and last question if I could. This was just related to the cash level, if I were to result in the private placing, you have the second one in July, and I recognize that you are going to be paying down near those notes, but still seems like cash level is fairly high, just by design and latter this slowing economy, looking for acquisitions at potentially lower multiples and, what kind of pace should we expect if that is the case over the course of 2008, especially if we are heading towards recession, or already in recession. What kind of pace we can expect from you guys?
John J. Molinelli - Executive Vice President and Chief Financial Officer: Well that’s… asked several questions there, once.
Robert LaGaipa - Oppenheimer: Sure.
John J. Molinelli - Executive Vice President and Chief Financial Officer: This flow is clearly resulted in funding in December and our positioning is… we are being a little conservative, it’s better to have cash on hand in these times and… than not. But from an economic standpoint it didn’t make sense for us to pay anything off earlier. It is better suited for us to keep the cash on hand and look for opportunistic uses of that cash, in the next few months, several months even if we have to and then pay the debt down later as in July when we get to that point.
Robert LaGaipa - Oppenheimer: Right.
John J. Molinelli - Executive Vice President and Chief Financial Officer: Funding acquisitions is the top of our priority, that’s our number one use of cash and… so we are obviously… we have got a lot of powder in our ammunition there to use and we could spend much more than we spent this year and still not affect the leverage factors of the company.
Frank S. Hermance - Chairman and Chief Executive Officer: If I could just add to John’s comments, we view this as an opportunity in the acquisitions arena. What typically happens as the economy slows, is several things. Multiples come down, as you mentioned. Also the EBITDAs of the acquired companies tend to go down. So when you look at what you are paying for those companies, it’s a great time to buy. Also, many of the strategics, not all obviously, but many will pull in their horns in a down environment, and we view it just the opposite as a time to get more aggressive. And I think as you know we substantially increase the amount of management capability we have for acquisitions by increasing the number of people that are 100% focused on acquisitions from 4 to 10 last year and we’ve got a great backlog right now and the cash is there. Obviously we are going to be judicious in the use of the cash but we do see there’s an opportunity.
Robert LaGaipa - Oppenheimer: And is there an official target just to clarify, $200 million, $300 million, whatever?
Frank S. Hermance - Chairman and Chief Executive Officer: We haven’t changed our targets; it is consistent with the strategy that we have outlined for you. We have basically said it’s a $100 million, it’s a $150 million in acquisitions. But I can tell you that my goal is to do better than that, my personal goal.
Robert LaGaipa - Oppenheimer: Terrific, very good. Good quarter. Thank you.
John J. Molinelli - Chief Financial Officer, Executive Vice President: I just want to make one other point that I touched on earlier. Our capital structure is just absolutely rock solid. At the urging of our Board last summer, they encouraged us to get ahead of the curve from taking the steps to protect us from funding to take, clear that $225 million notes that are due next summer, that inspired us to go into the private placement market, we pushed the envelope in getting delayed fundings and the upsized that to match the growth of the company. And when we look downstream our capital structure, coupled with the cash flows of the company is just a rock solid story. So I just wanted to take that opportunity to reiterate that.
Robert LaGaipa - Oppenheimer: Terrific. Thanks again.
Frank S. Hermance - Chairman and Chief Executive Officer: See you then. Thanks.
Operator: We will take our next question from Amit Daryanani with RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: Hello.
Frank S. Hermance - Chairman and Chief Executive Officer: Hello, Amit.
Amit Daryanani - RBC Capital Markets: I say the state got into a [inaudible] Research, a couple of things. You guys talked during the call regarding Lean and Six Sigma to drive your businesses. Frank, can you talk in a little more detail what you guys are doing, what’s your initiative for Lean and Six Sigma and the benefits that you’re seeing across your businesses?
Frank S. Hermance - Chairman and Chief Executive Officer: Absolutely. We are very excited about the, what we have accomplished to date and what we see going forward from both Lean and Six Sigma. Six Sigma is being deployed and has been deployed in two different ways. One, focused predominantly on the business today, if you will, basically the flow of products from the material side through the production process and out to our customers. And secondly, we are focused on design for Six Sigma, which is really in the research development and engineering process, so that we bring products to market that meet our customer needs, we do that efficiently, get them in production efficiently and obviously satisfy their needs and that levers our growth. And, when you look at the margin improvement that AMETEK has done over the last really six, seven years, it’s been a fairly remarkable story. I don’t exactly remember the numbers. Bill, you probably do, but I think when we started this our margins were down in the 12% to 13% kind of region. And we are running now, starting to teeter around 20%. So it’s a phenomenal story. And although we have not quantified this as to how much is Lean, how much is Six Sigma and how much is off shore manufacturing, how much is low cost materials sourcing, et cetera et cetera, obviously Lean and Six sigma are a major part of this. So, as we go into this year and as John has mentioned, we are going to focus some of our activities on the inventory side of the company. And we are actually, we have decided to hire 11 people into the company that are going to be put in our key operations, and these will be people who have significant Lean capability focused on the material movement. And we are going to really attack that material side of the business. It will take a while to see the results because we have to hire the people, get them in place et cetera. But we see an opportunity there and we are focused on that working capital metric and see if we can make some improvements in it, and then obviously satisfy our customers at the same time to a higher degree.
Amit Daryanani - RBC Capital Markets: In terms of like OE and RONA, how are you guys using those metrics to look at your manufacturing blueprint, to make sure you are doing the right job at the right plant?
Frank S. Hermance - Chairman and Chief Executive Officer: Oh we are always looking at our returns no matter what we do, and I think our financial reports on performance shows that. Any investment that we are making we are looking at it from a RONA viewpoint, and I think you can see that our performance has been excellent.
Amit Daryanani - RBC Capital Markets: And over the next year how do you, what percentage do you expect to improve on RONA? Do you have a target mark? Target you would like to achieve?
Frank S. Hermance - Chairman and Chief Executive Officer: No, we don’t have a specific target.
Amit Daryanani - RBC Capital Markets: Okay. And final question, like everything I have been hearing, congratulations on a great quarter.
Frank S. Hermance - Chairman and Chief Executive Officer: Thank you.
Amit Daryanani - RBC Capital Markets: How long did your continuous improvement program been in place and going forward on the next couple of years, what systems are you going to put in place to accelerate the initiatives, to make sure you guys stay number one in the market?
Frank S. Hermance - Chairman and Chief Executive Officer: Yes. I know it’s a great point. I mean, in that sense we have had these continuous efforts in place for an extended period of time, probably even before I was CEO and I have been CEO now, I think it is eight years. And so, I mean it has been a continual process, but we are continuing to augment the process and it is very important to us. The Company grows and we acquire other companies to inject that into those acquired companies, so the kinds of things we are doing is part of these 11 people that we hired, we are going to actually put a training function into the Company so that we have better capability as we acquire these companies to… in essence go out and teach them using the basic techniques of Lean, Six Sigma, other cost improvement types of initiatives. But it has an AMETEK tinge to it in terms of what we like to do and how we like to focus on and so, that’s definitely one initiative that’s going in place. Another major initiative is that we are putting a Business Analytic system in place, which sits on top of all of the IT systems we have throughout the Company, and it basically puts a dashboard on our desks that allows us to look at things that are not the typical financial metrics that we typically and very consistently look at. We could look at things like first pass yields, closing [ph] on the production lines, and things of that nature, amalgamate them and that will give our people additional focus into where the areas of opportunity are et cetera. So, those are a few of the initiatives that we have in place.
Amit Daryanani - RBC Capital Markets: Great. Nice work, guys. Congratulations on a great quarter.
Frank S. Hermance - Chairman and Chief Executive Officer: Okay.
Operator: And our next question comes from Wendy Caplan with Wachovia.
Wendy Caplan - Wachovia Capital Markets: Thanks. Good morning.
Frank S. Hermance - Chairman and Chief Executive Officer: Hi, Wendy.
Wendy Caplan - Wachovia Capital Markets: A couple of quick acquisition questions. In terms of the environment, I don’t think I heard you talking about… mentioning the credit crunch and whether… you talked about strategic buyers but have you seen any impact yet, from the credit crunch and the financial buyers, backing up?
Frank S. Hermance - Chairman and Chief Executive Officer: Yes. In essence when we look back, Wendy over the acquisitions we did, we very seldom competed head-to-head with financial buyers. Usually we have got huge synergies and the deals we are acquiring is good strategic fit, so we really didn’t go head-to-head with them and I think the impact on us was more indirect in that because they were being very aggressive and there was huge amounts of capital available as we go back in time. Multiples went up on deals, so we were paying higher multiples in the last year or two than we were in other time before that, so I think the impact, as obviously that cash is not available to the same… anywhere near the same degree is that we are going to see multiples come down. As I mentioned before and I am starting to feel a little of that, but I can’t say right now that we are back to where we were before the bubble.
Wendy Caplan - Wachovia Capital Markets: Okay. Thank you. And there were a lot of acquisitions in this quarter. Have you calculated what the operating margins in the segments or on a consolidated basis would have been, excluding those acquisitions?
Frank S. Hermance - Chairman and Chief Executive Officer: No, that’s not a calculation that we do, Wendy.
Wendy Caplan - Wachovia Capital Markets: And…
Frank S. Hermance - Chairman and Chief Executive Officer: Obviously, the acquisitions are going to be dilutive to margins.
Wendy Caplan - Wachovia Capital Markets: Right.
Frank S. Hermance - Chairman and Chief Executive Officer: And in essence, our margins were up substantially. So, the base business margins are extremely good and they’ve all set back dilution. But I don’t have a number as to what that is.
Wendy Caplan - Wachovia Capital Markets: Okay. And a number I know you do calculate is the incremental margin excluding acquisitions. Can you--?
Frank S. Hermance - Chairman and Chief Executive Officer: That we do
Wendy Caplan - Wachovia Capital Markets: Do that for the quarter?
Frank S. Hermance - Chairman and Chief Executive Officer: That, it was off the charts. It was well above 40% for the quarter.
Wendy Caplan - Wachovia Capital Markets: Okay. And finally, can you speak about the new 2008 Mexican tax laws and whether you expect that will help… how you expect that will affect AMETEK?
John J. Molinelli - Chief Financial Officer, Executive Vice President: We're studying that Wendy, but we don’t have a real clear picture of how that’s going to affect us and what strategies we may play, we may use to handle that. So, I can’t give you a finite answer to that.
Wendy Caplan - Wachovia Capital Markets: Okay. Well, we’ll look forward to getting it. Thank you very much.
Frank S. Hermance - Chairman and Chief Executive Officer: All right, Wendy.
Operator: And we’ll take our next question from Scott Graham with Bear Stearns.
Scott Graham - Bear Stearns: Good morning, Frank, John, Bill.
Frank S. Hermance - Chairman and Chief Executive Officer: Hello Scott.
Scott Graham - Bear Stearns: Hey. Just a couple of questions for you all. The acquisitions that you made in 2007, and Frank, I’m not asking you for all seven, but maybe just the bigger ones, could you tell us how those businesses are performing organically? Just a bit, maybe just the bigger ones.
Frank S. Hermance - Chairman and Chief Executive Officer: Yes. See, if I think about them, the first one we did was Seacon Phoenix and that was a submarine related business, it’s not one of the bigger ones, but it’s the first one that came to mind, and that one is doing great. As a matter of fact, a part of the strong order growth and internal growth that I mentioned for the company in orders came from that particular business. So, we've won some major contracts actually with the Spanish government on their submarine fleet to equip those submarines with… basically these are interconnect systems that do cabling interconnect between the outside water and the inside of the submarine. So they’re very high pressure type devices. So, that business is doing just fine. It’s organic growth, I don’t have numbers in my head, but they’re very, very strong. Some of the larger ones, Cameca is another one in there and Cameca was about an $80 million acquisition and that business has exceeded our expectations. Organic growth has been good. They’ve had great order intakes since we bought them. There are really no issues that I can think of with that particular acquisition. What else is in there, fellows, the--?
William J. Burke - Vice President, Investor Relations and Treasurer: Umeco would be the only other large… that would be the only other large one and that was… really we acquired that one in November. So, it’s too early to tell…
Frank S. Hermance - Chairman and Chief Executive Officer: Right. So, it’s kind of early. I don’t know if you've heard Bill, but Umeco is kind of early because it’s November, but we have no indications of any of any issues with Umeco.
Scott Graham - Bear Stearns: Well, was that business rising 5% to 10% plus before you bough it?
Frank S. Hermance - Chairman and Chief Executive Officer: This is a 6% growth kind of business.
Scott Graham - Bear Stearns: Okay. Where some of the order rates concern, I mean, I think I heard you right, when you said 12% organic growth.
Frank S. Hermance - Chairman and Chief Executive Officer: That’s right.
Scott Graham - Bear Stearns: In orders. Could you give me an… give us idea of what you are seeing in intake wise in the first part of January?
Frank S. Hermance - Chairman and Chief Executive Officer: It looks fine. Actually, I just check yesterday, it was all the group presidents, because I knew we are going to be talking about it this morning. And all three of the group guys were very confident and they are… what they not only what they saw in terms of input so far this year, but also how they are feeling about the first quarter.
Scott Graham - Bear Stearns: Okay. I guess, lastly would be some of the belt tightening stuff you guys, last time things weakened, you guys were way ahead of the curve on that. And it doesn’t sound like you are doing belt tightening now. It sounds like you very much at already. Although, my question would be, John did indicate that I think you guys are expecting G&A to be flat in 2008. Is that maybe the first glimpse of a belt tightening or is that something else?
Frank S. Hermance - Chairman and Chief Executive Officer: I would say it’s maybe a little bit of belt tightening but we had some spend in ’07 that just won’t repeat itself because we got some… some initiatives out of the way. So, it’s a mixture of just our normal cost conscious approach to running the business and some things behind us. Yes, we are looking at… always looking at ways to watch our spend there.
Scott Graham - Bear Stearns: Okay.
Frank S. Hermance - Chairman and Chief Executive Officer: If I could add to that. That what I mentioned the belt tightening in my opening remarks, we were very judicious both when we went through the budget process and as we rolled it up, and putting some pressure on our operations, recognizing the slowing economy and we really asked them to be more judicious in their spends, to look for more cost savings opportunities. It was not to the magnitude of what you are referring to, the last time we did this because of back and when was that? I guess it was year 2000 or so because our markets are strong, everything is really doing quite well right now but if I quantify that for you I would say roughly, probably $5 million of, sort of incremental additional cost savings. We didn’t go back and roll it up but I think that’s probably the rough magnitude of what we did. And again it’s purely precautionary, it’s not because we are seeing something that we have to react to.
Scott Graham - Bear Stearns: Okay. Very good. I do actually have one other question and that would be regarding 2008 acquisitions. I know that you guys have done just a… I think a tremendous job in improving the portfolio but if you had to name… I mean you now seem to be kind of full or approaching critical mass in your MRO area, although I am sure that there is more opportunity there but what are the other areas that you are seeing or… maybe the potential for acquisitions to be focused upon in that 2008?
Frank S. Hermance - Chairman and Chief Executive Officer: I mean if I looked at where the concentration of our efforts are going, I would put the process businesses first. There is lots of potential acquisitions in that arena that fit the size range where we like to do deals and they are great businesses and they tend not to cycle as much as other businesses, so that’s the number one focus I would say for deals. In addition, aerospace and defense outside of MRO is also an area that we see great opportunity to expand our product portfolio. So, we are going to be… continuing to look for in new acquisitions in that part of the business and as I already mentioned, we have built about $100 million third party MRO business now with the three acquisitions we have done over the last year and a half plus… I guess this was about a year and a half and we see that platform to become $200 million, $300 million platform, what we are talking so, and that really puts our acquisition strategy well, because they tend to be roll-ups, you kind of tend to bring them in, consolidate facilities, give substantial cost reductions and also being in an end market obviously is doing extremely well. The Power businesses are another key area, they are very good businesses, very good markets. That’s a smaller platform, as you know for AMETEK, we have got about $150 million of concentration and we have got good management in that part of the Company and we see it as an opportunity to continue to grow that platform. And although I am asked, I mean I am really speaking to all the differentiated businesses, because that’s where we are focusing… the last is really the differentiated side of EMG. We have built a really nice platform of businesses in our EMIPS [ph] division. We started with the core specialty metals company. We added HCC. We made other additions, Hamilton Precision in 2007 and I can tell you we are looking at a bunch of deals that go into that particular arena right now, so, I mean one of the advantages of our portfolio, I would say in that we have got a number of these diverse markets and you never know when deals are going to pop and what’s going to work from a financial viewpoint, so we are going to look across that whole spectrum of differentiated businesses and just continue to deploy the capital in a very efficient manner and get the kind of returns that we all like.
Scott Graham - Bear Stearns: Well, since you essentially named all of your businesses, Frank, I have come to tell you that I have got very encouraging
Frank S. Hermance - Chairman and Chief Executive Officer: I didn’t name cost driven motors.
Scott Graham - Bear Stearns: Thanks.
Frank S. Hermance - Chairman and Chief Executive Officer: All right.
Operator: And our next question comes from Amit Daryanani with RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: Thanks. Most of my questions have been answered but just had a few quick clarifications. In terms of the Final indulgence savings you expect from belt tightening, let’s call it, is that because you are going to consolidate try and do some restructuring or whether that’s going to come from?
Frank S. Hermance - Chairman and Chief Executive Officer: It is a combination of things. Every year we do consolidation of facilities and we are going to do some additional ones in 2008. You heard me talk about higher low cost region sourcing, we probably wouldn’t have been quite as aggressive if we didn’t see the slowing U.S. economy. I mentioned we are going to do $40 million to $50 million of additional manufacturing in low cost regions. We will push for the $50 million instead of the $40 million so it is those and those general types of things. It’s not a major restructuring of the Company in any way, shape or form. It’s just looking at opportunities and being a little more cautious as the U.S. and to some degree the world environment is changing.
Amit Daryanani - RBC Capital Markets: Got it. And then in terms of the low cost procurement or sourcing. We had $11 million in ’07 and $16 million in ’08. Is that right?
Frank S. Hermance - Chairman and Chief Executive Officer: That is correct.
Amit Daryanani - RBC Capital Markets: And what is the dollar amount that we are sourcing from low cost regions today?
Frank S. Hermance - Chairman and Chief Executive Officer: It’s about $60 million.
John J. Molinelli - Chief Financial Officer, Executive Vice President: Well, that’s for China. If we had expanded to other low cost areas you might add another $15 million to $20 million to that.
Frank S. Hermance - Chairman and Chief Executive Officer: All right. So $60 million to $80 million .
John J. Molinelli - Chief Financial Officer, Executive Vice President: Yes.
Amit Daryanani - RBC Capital Markets: All right and then what is the number going to 2008?
John J. Molinelli - Chief Financial Officer, Executive Vice President: Probably another $20 million.
Frank S. Hermance - Chairman and Chief Executive Officer: Yes.
John J. Molinelli - Chief Financial Officer, Executive Vice President: I mean we are going to still work on the $60 million, I mean we didn’t do it all so…
Amit Daryanani - RBC Capital Markets: Got it. And then into low cost manufacturing, that number was around $326 million?
John J. Molinelli - Chief Financial Officer, Executive Vice President: That’s correct.
Amit Daryanani - RBC Capital Markets: And it is going up by $40 million to $50 million and we typically save about 20% of those savings right in…?
John J. Molinelli - Chief Financial Officer, Executive Vice President: We say 10%, but probably our more recent performance has been closer to 20%, but the targets we have given you have been 10%.
Amit Daryanani - RBC Capital Markets: All right. I am still trying to look at my model and the way things look like they would end up at the mid or high end of the EPS number is about 50 basis points to 60 basis points of operating margin improvement?
Frank S. Hermance - Chairman and Chief Executive Officer: Yes. You hit the number but we are saying 40 basis points to 50 basis points margin improvement.
Amit Daryanani - RBC Capital Markets: All right. Are you sequentially… to follow up all the savings you get, the $16 million here and low cost sourcing and the final from general belt tightening, plus the incremental margins you can draw in your organic business. You should be… I mean that seems to be like a pretty conservative place to start, I mean, is the math right there or…?
Frank S. Hermance - Chairman and Chief Executive Officer: Well, remember we are in a slowing economy and we don’t want to be ultra aggressive at this point in time because none of us know exactly what’s going to happen with the economy, so we are… our numbers we think are very realistic. We think we can handle a slowing economic environment, if the environment did not further slow we probably would beat these numbers but we are assuming in our numbers are slowing economic situation.
John J. Molinelli - Executive Vice President and Chief Financial Officer: And you got to remember too there are cost increases that are offsetting this, I mean, you have taken the one side of the equation. There is other things that your cost increases in investments as well.
Amit Daryanani - RBC Capital Markets: All right. Well, maybe on the cost increases part, could you guys just run down raw material if that’s been an issue, it doesn’t look like commodities have spiked up too much of late other than oil.
Frank S. Hermance - Chairman and Chief Executive Officer: Commodities, I mean even when they were spiking up, it’s just… it really speaks to the strength of our Company where our operational excellence initiatives, they simply have not been a problem… we were very aggressive in alternate sourcing, very aggressive in pricing as the commodities have gone up. And now we are actually… as you mentioned enjoying an environment where they are probably going to moderate and there is opportunity as it moderates.
Amit Daryanani - RBC Capital Markets: All right. Thanks a lot.
Frank S. Hermance - Chairman and Chief Executive Officer: Sure.
Operator: [Operators Instructions]. And we will take our next question from Matt Summerville with KeyBanc.
Matt Summerville - KeyBanc Capital: Good morning. Just 2 questions. First, you mentioned pricing. How much were average selling prices up ’07 versus ’06 and then what’s your thought on 2008?
Frank S. Hermance - Chairman and Chief Executive Officer: That’s a good question Matt. We took a look at this actually, just the other day to see exactly what we had done and we were up about two percentage points in 2007 over 2006. The pricing that we have put into the budget for 2008 is the same, it’s 2%. It is going to be more difficult to get that, but we are going to be aggressive and shoot for that number.
Matt Summerville - KeyBanc Capital: Okay. And then any color on organic sales growth by geography in the fourth quarter? Do you have that data?
Frank S. Hermance - Chairman and Chief Executive Officer: I mean, it was a good picture. It was actually balanced where the organic growth internationally was about the same as the U.S. was about the same as the Company. So, it was a good picture. We are very pleased with the U.S. performance.
Matt Summerville - KeyBanc Capital: Okay. Great. Thank you.
Frank S. Hermance - Chairman and Chief Executive Officer: Sure.
Operator: And there are no further questions at this time, Mr. Burke I will turn the call back over to you.
William J. Burke - Vice President, Investor Relations and Treasurer: Okay. I would like to thank everyone for joining us today and we look forward to speaking with you next quarter.
Operator: That would conclude today’s conference call. We appreciate your participation. Have a good day.